Operator: Good day, ladies and gentlemen, and welcome to ASUR's Fourth Quarter 2025 Results Conference Call. My name is Dave, and I'll be your operator. [Operator Instructions] As a reminder, today's call is being recorded. Now I'd like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please go ahead, sir.
Adolfo Castro Rivas: Thank you, Dave, and good morning, everyone, and thank you for joining us today to discuss ASUR's results for the fourth quarter and full year 2025. Before I begin discussing our results, let me remind you that certain statements made during the call today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to several risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company's control. Additional details of our quarterly and full year 2025 results can be found in our press release, which was issued yesterday after market close, and is available on our website in the Investor Relations sector. Following my presentation, I will be available for Q&A. As usual, all comparisons discussed on this call will be year-on-year, and all figures are expressed in Mexican pesos, unless specified otherwise. Before getting into the discussion of traffic and financial results, let me start today's call with a recap of the key business developments during the fourth quarter and over the course of the year. The fourth quarter marked an important inflection point for ASUR. While traffic trends in certain markets moderated, we remain focused on strengthening our long-term platform through diversification, disciplined capital allocation and continued operational excellence. Strategically, we completed our expansion into the U.S. airport, commercial market and advanced transformational Latin American growth opportunity. As previously discussed, on December 11, we completed the acquisition of URW Airports, renamed as ASUR U.S. at an enterprise value of $295 million. This transaction established ASUR a direct participation in the U.S. nonregulated commercial airport segment, with operations in major U.S. hubs, including Los Angeles International Airport, Chicago O'Hare and New York John F. Kennedy International Airport. From December 11 through December 31, ASUR U.S. contributed approximately to $133 million in revenues and $86 million in EBITDA. We are excited about what this acquisition brings to ASUR's portfolio. First, it adds exposure to high-traffic dollar-denominated commercial revenues. Second, it diversifies our revenue mix beyond regulated income. And third, creates a scalable platform for future growth in the United States. Revenue and EBITDA for the ASUR U.S. were included within the results of our Mexican operations this quarter. Starting our first quarter 2026 earnings report, we plan to provide more detailed disclosure regarding on the business so that the investment community can better assess revenue profile, margin structure and growth prospectus as fully consolidated operation. In parallel, as disclosed in November, we signed a purchase agreement to acquire Motiva's stake in its airport portfolio, which holds interest in 20 airports across Brazil, Ecuador, Costa Rica and Curacao, for a purchase price of BRL 5 billion, which at the moment represented approximately $936 million. Upon closing this transaction would add approximately 45 million passengers annually to our network, bringing total annual passenger traffic over 116 million. It also provides entrance to Brazil, the largest aviation market in Latin America, while further strengthening our presence in Central and South America. This acquisition enhances our geographic diversification, increases scale and creates long-term operational opportunities, giving ASUR's track record as an efficient airport operator and more important, the opportunity to use the balance sheet. The Motiva transaction remains subject to customary closing conditions and regulatory approvals, while closing expected in the first half of 2026. We intend to fund the acquisition with debt. Together, these initiatives reflect a deliberate expansion, strengthening our position in the U.S. commercial segment while deepening our footprint across high-growth markets in the Americas. Importantly, we continue to adhere to our long-standing strategy of pursuing disciplined accretive acquisitions that increase long-term shareholders' value while preserving balance sheet strength. Lastly, reflecting the strength of ASUR's cash generation model, we returned value to shareholders in form of dividends. During 2025, dividend payment totaled $24 billion. At the same time, we supported our selective expansion strategy and preserve our financial flexibility. Let me now review ASUR's operational performance for the quarter and full year. During the fourth quarter, we handled 17.9 million passengers, up nearly 1% year-on-year with nearly 72 million passengers traveling through our airports during the year. Looking at the quarter performance by region, Mexico was essentially flat with domestic traffic slightly below prior year levels, while international traffic showed modest improvement. We believe this reflects the early stages of normalization following aircraft availability constraints and softer regional demand in earlier year. In addition, traffic in Cancun declined 2% during the quarter, while our 8 other Mexican airports grew middle-single digit. In Puerto Rico, traffic declined 3%, primarily driven by domestic market demand softness, while international traffic remained positive. Colombia once again delivered the strongest performance with our portfolio with fourth quarter traffic increased nearly 6% to 4.7 million passengers, reflecting high single-digit growth in international traffic and mid-single digit in domestic traffic, supported by improving connectivity and resilient demand. Overall, we are seeing gradual stabilization in Mexico and sustained structural growth in Colombia. Passenger volumes from the United States, our larger international source market decreased just 0.6%. While South America contracted 10.9%, on the positive note, Canada and Europe increased by 12.9% and 1.1%, respectively. Looking ahead, we expect a more balanced operation environment across our portfolio. In Mexico, we expect traffic to gradually stabilize over the year as aircraft availability improves. In Cancun, we continue to monitor the dynamic with Tulum Airport. As comparables ease, and airline networks adjust, we believe traffic trends should progressively improve during the year. In Puerto Rico and Colombia, we continue to expect sustained positive momentum, supported by healthy international demand and improved connectivity. Turning now to financial performance. As a reminder, all figures exclude construction revenue and costs and comparisons are all year-on-year, otherwise noted. Total revenue were flat year-on-year at MXN 7.3 billion, reflecting the softer traffic environment in Mexico and the FX impact from the appreciation of the Mexican peso on the commercial activity. Aeronautical and non-aeronautical revenues were essentially unchanged during the quarter. By region, Mexico, revenues were flat due to softer traffic trends and the FX impact from the appreciation of the Mexican peso against the U.S. dollar on commercial revenues. Puerto Rico's revenues declined nearly 6%, affected by the FX impact, while Colombia revenues increased nearly 5%, broadly in line with traffic growth and improved commercial performance. As part of our strategy to increase and enhance commercial offering, we opened 41 additional retail and service units across the network over the past year. This includes 31 in Colombia, 8 in Puerto Rico and 6 in Mexico. These additions contributed to a low single-digit increase in commercial revenues with solid momentum in Colombia, partially offset by softer results in Puerto Rico and Mexico. Commercial revenue per passenger increased 1% year-on-year to nearly MXN 132. By geography, Colombia posted the strongest performance with a 12% gain, followed by Puerto Rico, which rose nearly 4%, while Mexico remained broadly stable at MXN 159 per passenger. Turning to operating costs. Total expenses increased 25% year-on-year. In Mexico, expenses rose 10%, primarily driven by professional fees associated with the ASUR U.S. and the Motiva Airport project, along with the high minimum wages and increased service-related costs. Puerto Rico recorded a 6% increase, mainly due to security expenses and inflationary pressures. In Colombia, expenses doubled largely due to a change in the concession amortization methodology implemented in the previous quarter. As a reminder, we expect the regulated revenues to phase out by 2027 with the concession running through 2032. Starting in the third quarter 2025, we aligned amortization with the updated revenue generation. This is a structural adjustment and will continue going forward. Excluding this account adjustment, costs will have increased just by 1%. Turning to profitability. Consolidated EBITDA decreased nearly 5% to MXN 4.9 billion during the quarter, with adjusted EBITDA margin declining 330 basis points to 66.4% year-on-year, reflecting the dynamics I just explained. Colombia delivered EBITDA growth of 2%, while EBITDA declined by 3% in Mexico and 19% in Puerto Rico, mainly reflecting lower traffic and higher operating costs. Net majority income for the fourth quarter decreased 22% to MXN 2.7 billion, primarily driven by 2 factors: a noncash foreign exchange loss of MXN 155 million in connection with the appreciation of the Mexican peso against the U.S. dollar, while in the fourth quarter 2024 we recorded a MXN 773 million gain. Second, the MXN 407 million adjustment in amortization methodology in Colombia introduced in the third quarter 2025 that I just mentioned. For the full year, total revenues increased nearly 19% to MXN 37 billion. EBITDA rose 2% to MXN 20.2 billion with adjusted EBITDA margin of 67.8% in '25 compared with the 69.7% in '24. In turn, net income declined 20% year-on-year to MXN 10.9 billion, mainly reflecting a noncash foreign exchange loss of MXN 1.9 billion this year versus a MXN 2 billion gain in '24. Moving on to the balance sheet. We closed the year with cash and cash equivalents with MXN 11 billion and net debt of MXN 16 billion, equivalent to 0.8x last 12 months EBITDA. This reflects 2 loans obtained during the second half of 2025, which were secured to pay CapEx projects and fund our strategic U.S. initiative. Even after incorporating these financings, leverage remains at a conservative level and well below global airport peers, presenting ample flexibility to fund regulatory CapEx commitments and future growth. Capital expenditures during the fourth quarter were MXN 3.9 billion invested across our airport network, of which MXN 3.5 billion were invested in Mexico under our master development plan, and the remainder in Colombia and Puerto Rico. For the full year, we invested MXN 7.8 billion in CapEx with a similar geographic breakdown. Investments under our Master Development Programs across our Mexican airports, ensuring the capacity, service quality and regulatory compliance continue to advance. In Puerto Rico and Colombia, we remain focused on operational improvements and commercial optimization initiatives aimed at enhancing non-aeronautical revenue generation. In Mexico, we expect to reopen Terminal 1 in Cancun in the third quarter of this year, which is anticipated to provide a commercial tailwind. New facility will help rebalance passenger flows across terminals and improve the passenger experience, which over time should support higher commercial spending. Wrapping up, ASUR enters 2026 with a strengthened platform, greater diversification, disciplined capital allocation, robust balance sheet and proven operational model. While near-term traffic trends in some markets have moderated, the structural demand drivers for air travel in our region remains intact, and we are confident in our ability to generate long-term value for our shareholders. With that, now we are ready to take your questions. Dave, please open the floor for questions.
Operator: [Operator Instructions] The first question comes from Andressa Varotto with UBS.
Andressa Varotto: I have 2 questions. I can make the first one and then the next one. Starting with if you could share any additional color and projections about the recent ASUR U.S. acquisitions or if we can try to calculate how much it could add on revenue and EBITDA for the year based on the results showed in this quarter? And also, if you have any update on the process of the Motiva Airports acquisition?
Adolfo Castro Rivas: Well, in the case of the U.S., 2 comments. First of all, you have the numbers for the first 20 days, which are, I will say, not something that we can consider as a normalized for the full year in '26. Due to the fact that during the third quarter this year, we're expecting the opening of the new Terminal 1 in New York at the JFK Airport, which is an important element of the equation of this transaction. So more or less the same for the first 3 quarters and then the jump because of the new Terminal 1. In the case of the process for Motiva, everything is -- it's going well. Of course, it's going to take time. There are some process that are slow in the case of aeronautical approvals. But we expect to conclude this during the end, maybe the beginning of the third quarter this year.
Andressa Varotto: Very clear. And my other question would be regarding the tax rate. We noticed a lower tax rate this quarter. I would like to understand if this is something that we can expect for upcoming quarters or was more of a one-off effect?
Adolfo Castro Rivas: No, that is related to the results of the year.
Operator: [Operator Instructions] Our next question comes from Anton Mortenkotter with GBM.
Ernst Mortenkotter: I mean we saw really good performance on the commercial side on Puerto Rico and Colombia operations using local currency. So I was just wondering what kind of initiatives were you pushing in those markets? And should we expect to see that non-aero [ part ] continue growing?
Adolfo Castro Rivas: Thank you for your question, Anton. Yes, the appreciation of the Mexican peso was for the quarter, 13.4%. So if you see the results in their currency, they were very good. In the case of Puerto Rico, we have worked in the second half of the year very hard on a new strategy into the convenience stores, and there are some other adjustments to improve the operational performance of the duty free. In the case of Colombia, I would say, apart from what I mentioned in terms of the new units we have established there, nothing else.
Operator: [Operator Instructions] This concludes our question-and-answer portion of today's call. I would like to turn back over to Mr. Castro for closing remarks.
Adolfo Castro Rivas: Thank you, Dave. Ladies and gentlemen, that concludes ASUR's Fourth Quarter 2025 Results Conference Call. We would like to thank you again for your participation. You may now disconnect.
Operator: Ladies and gentlemen, that concludes ASUR's Fourth Quarter 2025 Results Conference Call. We would like to thank you again for your participation. You may now disconnect.